Presentation:
Operator: Good morning. My name is Lisa, and I will be your conference operator today. At this time, I would like to welcome everyone to the Dundee Corporation Q2 2018 Conference Call and Webcast. [Operator Instructions] Thank you. Mr. John Vincic, you may begin your conference.
John Vincic: Thank you, Operator. Good morning everyone and welcome to Dundee Corporation's 2018 second quarter results conference call and webcast. The company's financial results were issued last night and are available on our website at dundeecorporation.com. Before we get started, please be advised that the information discussed today is current as of June 30, 2018 unless otherwise indicated and that comments made on today's call may contain forward-looking information. This information by its nature is subject to risks and uncertainties and as such actual results may differ materially from the views and expectations expressed today. For further information on these forward-looking statements, please consult the company's relevant filings on SEDAR. Also please be reminded that all currency amounts discussed on today's call are in Canadian dollars unless otherwise stated. Our presenters today are Jonathan Goodman, Dundee's Chairman and Chief Executive Officer; and Robert Sellars, Executive Vice President and Chief Financial Officer. Joining them for the question-and-answer session following the conclusion of the formal remarks will be Richard McIntyre, Executive Vice President and Chief Operating Officer. And now, I would like to turn the call over to Jonathan Goodman. Jonathan?
Jonathan Goodman: Thank you, John, and thanks to everyone for joining the call this morning. First and foremost, Dundee is an investment company. Since our inception, we have been very successful, invested across a variety of industries including resources, real estate, and financial services, and have seeded some of Canada's most successful companies. And while I go through those things we have seen more than our fair share of challenges in recent years, we remain committed to being an investment company. Our focus during the second quarter was squarely on the continued review and repositioning of our portfolio. Progress is made in a number of our holdings, but clearly we would like to accelerate our efforts. Since Lee joined in Dundee earlier this year, I've also been very focused on our longer term capital structure. Today, our balance sheet is debt-free, but steps will need to be taken in the near to mid-term. Most notably, Dundee has series 5 preferred shares outstanding, which are due in June of 2019. If we were to choose to retire the series 5 preferred with cash, which could require approximately $83 million. It should be noted however, that we have other options at our disposal, including, the ability to issue stock at a floor price of CAD $2 per Class A share, in exchange for all of the outstanding series 5 preferred shares. Also the option to negotiate terms to potentially amend and extend the series of preferred or the possibility of negotiating a partial redemption, which could include payments with either cash of shares and an extension. I felt it was important to address this matter, shareholders need to understand that no decision has been reached on this matter, but we are actively examining our options. As we move forward towards a decision, we will actively engage our preferred and common shareholders and work towards a resolution. Managing our capital structure goes hand-in-hand with our ability to effectively allocate capital and manage our cost structure. And while we made progress on the ladder, we need to do a better job at the former. Now, let me turn to a brief review of our operational highlights. Our largest single investment remains Dundee Precious Metals. In the second quarter, DPM delivered strong operational financial results. Gold production was slightly more than 48,000 ounces, and copper production was 8.5 million pounds. And together that was at an all in-sustaining cost of US$540 per ounce of gold. The Company also announced that it was increasing its gold production guidance for the second consecutive year, and now expects to produce between 180,000 and 200,000 ounces of gold in 2019. In addition, construction of the Krumovgrad gold mine in Bulgaria continued under budget and first production remains on track for Q4 of 2018. Once in production, Krumovgrad will join Chelopech to give Dundee Precious Metals, two lost cost gold mines in Bulgaria. In its first five years, Krumovgrad will produce an average of 100,000 ounces of gold per year at an all in-sustaining cost of around CAD $400 an ounce. We believe that this has DPM well-positioned for a significant valuation relating opportunity in 2019, and this is why we remain very bullish on the outlook for the Company. At Parq Vancouver, the overall ramp up of operations continued but at a slower pace than we envisioned. On a positive note, hotel occupancy levels have increased as expected during the prime tourist season in Vancouver. Marriott has also been able to leverage its international network to drive group business, which is supported by the first class meeting space available at the hotel. In spite of this, it has become clear to us that the food and beverage offering requires repositioning. The Victor, our high-end steakhouse in the D/6 Lounge, a popular gathering spot near the expense of 6-floor terrace have both won rave reviews and performed well. However, the other food and beverage venues need some retooling, and plans are underway. Casino operations have been adversely impacted by the anti-money laundering initiatives introduced earlier this year by the provincial government at British Columbia. This has impacted the entire gaming industry in the province and not just Parq. Clearly, an adjustment period is ongoing as the industry adapts to these new rules, but longer term remains bullish on the prospects for the gaming business and the industry in BC, as a whole. Nevertheless, we have chosen to be cautious and adjust the carrying value of our investments in Parq. Portfolio update. Now let me turn to a brief overview of some of the highlights from our portfolio during the quarter. At United Hydrocarbon International, we are excited by the progress Delonex is making on the ground in the Republic of Chad. They are poised to drill their first well in the second half of this year, and we are anxiously awaiting for them to drill that and get those results. We believe Buick has been significantly de-risked and now offers Dundee and it's shareholders significant upside when successful oil production begins. At Blue Goose, subsequent to quarter end, we were able to sell a portion of the legacy fish business, and we believe other parties are interested in purchasing the remaining of the business. The Blue Goose beef business is continuing to navigate challenges associated with the 2017 forest fires in British Columbia. Due to reductions in available grazing land and less access to feeds, Blue Goose has been reducing the size of its herd. The cash generated by the sale of the cattle is being redirected to offset some of Blue Goose's operating costs. This is positive because it means less money is required from Dundee to support those operations. Dundee's Sustainable Technologies has world class technology for extracting metals, minerals, prized material, concentrates, and fillings, while stabilizing contaminants particularly such as arsenic which have their own patented process. DST is continuing to expand its reach in grove revenue as it expands in capabilities and reach across the mining industry. We are encouraged by the progress and believe DST's long-term prospects are improving. And finally, we completed the streamlining of Dundee's private client business. Goodman & Company, Investment Council, now has just under CAD $70 million in assets under management, all high fee paying assets that have been repositioned to focus on the resources sector that are aligned with our burgeoning merchant banking business. Now I'd like to turn the call over to Bob Sellars, for the financial review. Bob?
Bob Sellars: Thanks Jonathan. For the second quarter we are reporting a pretax loss in the quarter of CAD $74 million compared to a pretax loss of CAD $37 million in Q2 2017. This results in a net loss after tax in discontinued operations of CAD $79 million compared to our prior year of CAD $25 million loss. The major drivers of this loss are as follows; at Parq Vancouver, we recognized an equity loss and a write-down of an aggregate CAD $39 million. The net loss on our investment and holdings of CAD $16 million, including a write-down of CAD $10 million on some of the park holdings compared to CAD $25 million in losses in Q2 2017. At Union Group, we had CAD $700,000 gain in the underlying holdings during the second quarter with CAD $4 million year-to-date gain. As previously reported, the value of our indirect stake in ICC, Cannabis, is what underpins our valuation in Union Group. At Blue Goose, we incurred a loss of CAD $8 million in the quarter, primarily resulting from a fair value decline in livestock and a sharp decline in beef commodity prices. This compares to a loss of CAD $2 million in Q2, 2017. United Hydrocarbons had an improved valuation of CAD $700,000 gain compared to a CAD $3 million loss from the prior year, based on the revaluation of the derivative model of the royalty and the contingent consideration. And G&A for the quarter was CAD $23 million compared to a year before of CAD $21 million. The result of this increase is increased severance plus the cost of winding up some leases where we had gotten off one floor plus some increased rent on temporarily vacant space on another floor, offsetting that, we have been reducing other cost. On a year-to-date basis, we reported a year-to-date pretax loss of CAD $103 million compared to CAD $5 million gain in the prior year, which resulted in after-tax in discontinued operations loss of CAD $104 million compared to CAD $3 million gain in the prior year. Again, the major drivers of this loss are as follows; in Parq Vancouver, we had a total equity loss of CAD $53 million, including the write-down; and net loss in investment holdings were CAD $24 million compared to last year's CAD $33 million gain, a loss of CAD $14 million at Blue Goose compared to a CAD $4 million loss in the prior year again primarily due to the changes in the fair value of livestock and the decline of beef commodity prices. UHIC had a valuation gain of $7 million in the year compared to a $7 million loss last year as a result of improved foreign exchange rates and oil price inputs into the derivative model. Year-to-date G&A of 41 million is slightly less than the $42 million last year by recognizing we did have an increase in severance and sublease cost, but we did have a drop in professional fees and other operating expenses. A few comments on the list of operating subsidiaries that are provided but the key point being in that list is our Blue Goose lost that I had spoken to above. We do feel we're making improvements on the remaining active subsidiaries. The increase cost in Goodman & Company in the second quarter is the result of one-time transition costs associated with the move-out of the private client business. Discussion on the investment portfolio which stood at $328 million after the proceeds of sale holdings generated $25 million in the quarter and $67 million year-to-date. The market was securities portfolio at quarter end was this CAD $164 million and we continue to sell some of these holdings and other investments to provide liquidity. We continue to monitor our liquidity and have approximately $30 million in cash at the corporate level at quarter end. We continue to work that ways to generate raised cash to help manage our liquidity. Our annual dividend costs are approximately $14 million with the tax on those dividends of $5 million incremental. Notwithstanding the increase second quarter cost mentioned above, we still target our normalized head office run rate to be in the range of CAD $16 million to CAD $18 million annually as we continue to streamline lower ongoing cost and operations. And we also point out in the notes to the financials we've included a tax contingency note as we are in the early stage with discusses with CRA and our auditors over the treatment of our investment inventory in prior years. The amount is clearly not quantified, but it could be a material number and could affect cash flow. That concludes my comments. Jonathan?
Jonathan Goodman: Thank you, Bob, for that update. Before we move on to the Q&A let me provide a brief summary of some of the things we expect in the near-term. Our top priority remains on repositioning of the portfolio. As part of that process we’ll also consider all options for non-core holding. This could include the sale and disposition of assets in both the public and private portfolios. In some cases it’s been above the addition of new partners for bringing both capital and expertise to help improve operation. Parq Vancouver is an example where this approach is at work today. We’re active looking at ways to restructure the debt and improve operational performance. This includes evaluating partners who could bring capital to project and could be instrumental in accelerating the ramp up and repositioning of the assets for longer term success. Discussion with various parties are at advance stage and we’ll expect to provide an update up to the market later in the second half of 2018. Our United Hydrocarbon significant process is being made on the ground in Chad. Delonex is a world class partners with proven expertise operating in sub-Saharan countries in Africa. We are all optimistic the first wells will be drilled in the second half of 2018. At Dundee Precious Metals our largest holding we’re excited about their performance year-to-date more importantly we believe DPM is poised for significantly rating opportunity as Krumovgrad gold mine comes online in Q4 of this year. And finally, I know that I have said this before but we remain firmly committed to a disciplined capital allocation process. Before we answer your questions I just wanted to acknowledge that this frustration amongst our shareholder base. Dundee’s past performance has been sub-standard to say the least the company has faced a litany of challenges as a shareholder and member of the founding family of Dundee I'm also unhappy. And I empathize with the other shareholders. However, the only way out of commitment is by working harder and smarter. I am committed to overseeing a turnaround at Dundee and so is our team. The files that we had inherited are complex and none come with a quick fix. Many are private entities and price discovery and crystallizing value case longer than it does when working with publicly listed security. And the portfolio that was inherited was too big for Dundee size. When I rejoined they were nearly a 100 holdings across our portfolio. Today that number is considerably smaller and I believe the ideal target is 30 holdings or less. As we work towards that goal, I would expect to begin delivering improved results and better performance for our shareholders. Now we’ll be happy to answer your questions. Operator?
Operator: [Operator Instructions] Our first question comes from the line of Brett Reiss from Janney Montgomery Scott. Your line is open.
Brett Reiss:
Bob Sellars:
Brett Reiss:
Jonathan Goodman:
Brett Reiss:
Bob Sellars:
Brett Reiss:
Bob Sellars:
Brett Reiss:
Bob Sellars:
Brett Reiss:
Bob Sellars:
Brett Reiss:
Jonathan Goodman:
Brett Reiss:
Jonathan Goodman:
Brett Reiss:
Bob Sellars:
Brett Reiss:
Jonathan Goodman:
Brett Reiss:
Jonathan Goodman:
Operator: Our next question comes from the line of Jim Roumell from Roumell Asset Management. Your line is open.
Jim Roumell:
Jonathan Goodman:
Jim Roumell:
Jonathan Goodman:
Operator: [Operator Instructions] Our next question comes from the line of Jeff Bronchick from Cove Street Capital. Your line is open.
Jeff Bronchick:
Jonathan Goodman:
Jeff Bronchick:
Jonathan Goodman:
Jeff Bronchick:
Jonathan Goodman:
Jeff Bronchick:
Jonathan Goodman:
Jeff Bronchick:
Jonathan Goodman:
Jeff Bronchick:
Jonathan Goodman:
Operator: Our next question comes from the line of Charles Burns from CIBC. Your line is open.
Charles Burns:
Bob Sellars:
Charles Burns:
Bob Sellars:
Charles Burns:
Jonathan Goodman:
Charles Burns:
Jonathan Goodman:
Charles Burns:
Bob Sellars:
Charles Burns:
Bob Sellars:
Operator: Our next question comes from the line of Brett Reiss from Janney Montgomery Scott. Your line is open.
Brett Reiss:
Jonathan Goodman:
Brett Reiss:
Jonathan Goodman:
Brett Reiss:
Jonathan Goodman:
Operator: Our next question comes from the line of Jim Roumell from Roumell Asset Management. Your line is open.
Jim Roumell:
Jonathan Goodman:
Jim Roumell:
Jonathan Goodman:
Jim Roumell:
Jonathan Goodman:
Operator: Our next question comes from the line of David Wilcox from Eleven Point. Your line is open.
Unidentified Analyst:
Jonathan Goodman:
Unidentified Analyst:
Jonathan Goodman:
Unidentified Analyst:
Jonathan Goodman:
Unidentified Analyst:
Jonathan Goodman:
Unidentified Analyst:
Jonathan Goodman:
Unidentified Analyst:
Jonathan Goodman:
Unidentified Analyst:
Jonathan Goodman:
Operator: I’ll now turn the call back to Jonathan Goodman for closing remarks.
Jonathan Goodman: Well, I think I have answered all your questions. And I'm sure there will be more and I think we do plan on devoting a lot more time this next quarter to actually reaching out and having a good dialogue with the shareholder base. But for now thank you very much and I look forward to talking to you guys in the future.
Operator: This concludes today's conference call. You may now disconnect.